Operator: Hello, and thank you for standing by. My name is Regina, and I will be your conference operator today. At this time, I would like to welcome everyone to PodcastOne's Third Quarter Fiscal 2026 Financial Results and Business Update Conference Call. [Operator Instructions] I would now like to turn the conference over to Ryan Carhart, Chief Financial Officer. Please go ahead.
Ryan Carhart: Good morning, and welcome to PodcastOne's Fiscal Third Quarter 2026 Conference Call. The earnings release, which we issued this morning, is available on our website at ir.podcastone.com under the News and Press Release tab. During today's presentation, all parties will be in a listen-only mode. Following the presentation, we will have a question and answer session. On the call today is Kit Gray, President and Founder of PodcastOne; and myself, Ryan Carhart, Chief Financial Officer. I would like to remind listeners that some of the statements made on today's call are forward-looking and based on current expectations, forecasts and assumptions that involve various risks and uncertainties. Actual results may differ materially. Please refer to PodcastOne's filing with the SEC for information about factors which could cause actual results to differ materially from these forward-looking statements. Reconciliations of non-GAAP financial measures to the most comparable GAAP financial measures discussed today are available in the company's earnings release on the Investor Relations website. This discussion, including responses to questions, contains time-sensitive information and reflects management's view as of February 12, 2026. Except as required by law, the company does not undertake any obligation to update this information after today's call. This call is being recorded and will be available via webcast replay on PodcastOne's Investor Relations website shortly following the conclusion of the call. Redistribution without the company's expressed written consent is strictly prohibited. With that, I would now like to turn the call over to PodcastOne's President, Kit Gray.
Kit Gray: Thank you, Ryan, and welcome to our fiscal third quarter 2026 earnings call. As a reminder, our fiscal year begins on April 1. This quarter was defined by strategic partnerships, long-term talent renewals and meaningful expansion of our owned and original content network. PodcastOne continues to distinguish itself as the leading pure-play podcasting platform in the public markets through a vertically integrated model that combines talent development, content creation, distribution, analytics and monetization and operational efficiencies, all strengthened by our AI-powered infrastructure. Our AI toolkit continues to enhance performance across every aspect of the business. Flightpath drives predictive profitability, Booster scales advertising management and proposal recommendations. Adobe Audition ensures best-in-class audio quality. Pod Engine supports discoverability through SEO and insights. Magellan AI powers advertising attribution. And Opus Pro converts long-form video into short-form content that fuels audience growth across platforms. Our team consistently uses AI-based search components to discover new talent, match trending topics to specific content created on our programs and more. These tools directly support how we grow shows, monetize audiences and operate more efficiently at scale. This quarter, we announced one of the most significant strategic initiatives in PodcastOne's history through our partnership with Dr. Phil's Envoy Media Company. Together, we are launching a new podcast-based original and owned content network anchored by the all-new daily Dr. Phil podcast. This initiative expands PodcastOne beyond traditional podcast distribution into true multi-platform owned media, reinforcing our position as a content network rather than simply a podcast publisher. We also proudly renewed LadyGang in a multiyear agreement. This year marks 10 years of podcasting, 1,000 episodes and over 300 million downloads. Few podcasts in the industry demonstrate that level of longevity and audience loyalty. In health and wellness, the Dr. Gundry podcast continues to be a standout performer with 18 million all-time downloads across 548 episodes, educating millions globally on gut health, nutrition and longevity through science-backed insights. This show exemplifies the long-tail value of evergreen expert-driven content. Additionally, we renewed The Adam Carolla Show in a multiyear agreement with the show now joining The Megyn Kelly Channel on SiriusXM, extending its reach into new distribution channels and audiences. Further strengthening our slate, we renewed The Bitch Bible, Some More News and The Prosecutors and acquired For Your Amusement in a multiyear agreement, expanding both genre, diversity and monetization opportunities across the network. We also signed a multiyear partnership with AI-driven Listener.com, further advancing our data and audience intelligence capabilities. Our monetization engine continues to show measurable progress. PodRoll revenue increased more than 5% quarter-over-quarter, reflecting growing adoption of our Dynamic Ad Marketplace by brands and agencies seeking efficient access to premium podcast inventory at scale. This growth, paired with our talent renewals and owned content strategy continues to move PodcastOne into a higher revenue tier and reinforces the scalability of our platform. Lastly, Paramount's recent acquisition of Varnamtown from PodcastOne for development as a streaming project underscores the strength of PodcastOne's original IP and storytelling slate. Ryan, back to you for financial results.
Ryan Carhart: Thank you, Kit. As a reminder, our fiscal year began on April 1. Revenue in the fiscal third quarter of 2026 was a record $15.9 million. Operating loss in the quarter was $153,000 compared to an operating loss of $1.6 million in the same year ago quarter. This improvement was driven primarily by higher advertising revenue and operational efficiencies across production and distribution. Net loss for the quarter was $154,000 or negative $0.01 per basic and diluted share compared to a net loss of $1.6 million or negative $0.06 per share in the year ago quarter. Adjusted EBITDA for the quarter was a record $2.8 million compared to a negative $670,000 in the same year ago quarter, driven by revenue growth and disciplined cost management. We ended the quarter with $3.4 million in cash and cash equivalents and no debt on the balance sheet. With that, I'll turn the call back over to Kit.
Kit Gray: Thank you very much, Ryan. This quarter demonstrated PodcastOne's evolution into a true content and monetization network powered by technology, talent relationships and owned media strategy. From the launch of the Dr. Phil's network initiative to long-term renewals of legacy shows like LadyGang and The Adam Carolla to the growth of PodRoll and expansion of our AI capabilities through Listener.com, we are building durable assets that extend well beyond individual podcast titles. We remain focused on compelling content, strategic monetization and long-term partnerships with creators and advertisers. With our AI-powered infrastructure and growing portfolio of owned and original content, we are exceptionally well positioned for continued growth throughout fiscal 2026 and beyond. I want to thank our team, our creators, our partners and our shareholders for their continued dedication and trust. With that, we'll now open the line for questions. Operator?
Operator: [Operator Instructions] Our first question will come from the line of Barry Sine with Litchfield Hills Research.
Barry Sine: Two questions, if you don't mind. The first one is around Dr. Phil. Obviously, huge potential. We're, I think, about 1.5 months, maybe 2 months into his podcast on PodcastOne. What are you seeing in terms of streams and downloads from him? And then secondly, what has been the advertiser response as Sue McNamara goes out there to sell advertising on those -- on that program?
Kit Gray: Barry, good to talk to you. Thanks for the questions. Appreciate it. Yes, we're all really excited about the Dr. Phil relationship, and he's got a lot of things going on that it's really exciting. You got the Dr. Phil podcast. You've got his Mystery and Murder podcast, which is doing great. And he's really getting his feet wet. We just had him on The Adam Carolla show. We have him scheduled over the next 1.5 months to go on some of the biggest podcast in the world in talking about his story. So he's well positioned for some great growth in the space. He is a pro, right? I mean there's not a bigger name in television history really than him. And advertisers are definitely listening and excited to hear more about his offerings as we go to market. But yes, his show is great. And I think we have some great projects that we're going to be launching over the next 3 to 6 months within that Envoy Media company. Dr. Phil has a really big Rolodex of great people that we're going to want to pull in to do video/audio content for us. So we're excited about that opportunity. But yes, all things are great so far, and we're really excited about it.
Barry Sine: And the advertiser response so far?
Kit Gray: Yes, it's been great. They want to know more about what we're going to be offering. So we've just started putting some presentations together and some offerings that not only just the podcast, but they've got a ton of distribution through some relationships that they have, too. So we're really working towards bigger deals that will include that as well as the podcast on YouTube and obviously, the RSS feeds that go out through iTunes and iHeartRadio and PodcastOne and all these different places. So it's exciting because we're a different company, as you guys know, we like to look at ourselves as thought leaders and game changers in the sense that no one else is going out doing this. We're going to include social media, video, audio, the podcast is TV distribution deals as well. So that's something that nobody else has done. So we're kind of educating the marketplace on those opportunities, and they're excited to hear from us. 15 years ago, no one even believed in podcasting and here we are. So we got to keep changing things and evolving and leading the way, and that's why advertisers always take your phone calls because of that.
Barry Sine: Okay. My second question is around B2B deals. Rob talked extensively about what LiveOne is doing with B2B deals and their numbers, the number of active deals and the number in the pipeline. Some of those -- many of those include PodcastOne content, although I guess not all. Can you talk specifically about how B2B deals are impacting your current results? And then what is the outlook going forward for the impact on results from B2B deals that are in the works that will include podcasts?
Kit Gray: Yes. I mean we have -- the Amazon ART19 deal is definitely one of the biggest deals we have in our company. That's continuing to do just great things for us. They're great partners. They've helped us in terms of efficiencies and cost cutting, but also being able to get different revenue channels, right? I've explained this in the past. We have our direct sales. We have the ART19 ad inventory marketplace where their sellers are including podcasting, runner network deals to their advertising relationships, which continue to expand. And then we have our access to the programmatic desk through them and relationships through them. So that has been tremendous, diversifying our ad sales revenue generation channels and being able to continue to grow and put pressure on our inventory. So we have moved up to a second tier with impressions that we are able to offer, which gives us a really nice minimum guarantee from them. And we continue to grow, that relationship continues to grow, and there'll be more money involved in that. So that's exciting. We have a great relationship with Pluto TV for years now and that also has been a great relationship and continues to evolve. We're now talking to them about doing our Pluto TV podcast, where we'll be reviewing their programming, new programming, historic programming that they give their -- in their platform. So those are really big deals that we have going on. Sue and her team continue to crack the code of new brands and new advertising relationships. I was just listening to The Adam Carolla and he was doing a live show up in Sugarloaf. And I just listened to it the other day at the gym and the amount of brands that are in there and Adam is doing fantastic reads for and they're great companies, it's amazing. They're different ones. They're new ones. So people are diving into the space on that front as well. And we have a lot of other relationships on the docket that will expand into this year and next. But yes, positioned pretty well there.
Barry Sine: So specifically, Rob called out 3 major new ones that are just coming online. Do any of those include podcasts or do all of them or how many of them include podcasts?
Kit Gray: Well, we work hand-in-hand with the Lot1 team on a bunch of initiatives. So yes, their talk about content development for some of those relationships as they create music channels for them. We would create podcast offerings, content offerings. A lot of them are in early discussions, so I can't really talk too much about them, but they're excited about it. I mean this is a new world where we have access to talent and great content and audience that we can now engage with those brands.
Robert Ellin: Kit, if you don't mind, I'll jump in just for a second on that. Barry, as you know, when our app goes into any one of our partners, whether it's carriers, retailers and so on, podcasting is a big component of it. So if you can reach audiences of 50 million plus, our podcasts get a whole new audience, right, that happens as part of the deal, right? So all of a sudden, we don't count that in our revenues today. But if you reach 50 million people, all of our podcasts are in their hands as well. So any time the LiveOne app is there, our podcast, even though we have increments podcasts, our podcasts are always highlighted in the first position. So you get a new -- brand-new massive audience amongst those 3 B2B deals and more to come.
Barry Sine: I'm well aware I have the LiveOne app on my iPhone, my iPad and my Apple TV.
Operator: Our next question will come from the line of Sean McGowan with ROTH Capital.
Sean McGowan: A couple of questions for me, too. So on cost of sales, a nice reduction in cost of sales as a percentage of revenue. And I imagine that some of that is revenue from things like selling programs like Varnamtown, where there really isn't a lot of incremental cost, but there's revenue. So can you give us a sense of if you excluded that kind of revenue with like really no cost associated with it, has there been another shift in cost of sales as a percentage of revenue? Or is the reduction pretty much due just to that mix issue?
Kit Gray: Sure. Go ahead, Ryan.
Ryan Carhart: Sean, so yes, it's a good question. I mean our margin generally has been slightly ticking up all year. So there is a little bit of just improvement based on all the hard work that Kit and his team is doing to improve that. Additionally, you know that there were onetime benefits coming through from certain things that were sold during the quarter. So yes, it was a strong quarter for us. There was one one-off item in there. But otherwise, it's positive and strong quarter-over-quarter.
Sean McGowan: And kind of related to that, when -- I just love that Varnamtown. When do you think that would be kind of available for general consumer viewership with the partner?
Robert Ellin: Guys, I'll jump in on that. You never know the date, but they're in for a lot of money. They've now spent at least -- at least $1.5 million, probably $2 million, right, on options, getting the rights to it. It's now at the streaming partner, right? If that gets greenlit, as you know, Sean, you've been around me for a long time when I did the movie 300, Spiderwick Chronicle, we did $1 billion of revenue in these. If you get a TV show on the air on a major streaming network, that can be millions to tens of millions of dollars with 0 additional cost to us. So we couldn't be more excited. And there's 4 of those, right, that have now been sold. There's 12 total -- I'm sorry, there's 15 total in the pipeline. In fact, we're going to market with another 2 of them shortly. We couldn't be really more exciting than that. We've always talked about original IP and what original IP can do for us and how it changes the dynamics of the industry dramatically. And those second windows of original programming to television and film, products owned in conjunction with the talent, which Kit is going to be talking about a lot more over the next couple of quarters and live shows, which is just exploding in podcast. As you know, whether it's all-in or it's Rogan or someone, the live shows are just expansive, and you're seeing so many people enter that live market as you saw Ari Emanuel just raised $2 billion to expand the market. And you see [indiscernible] in the market. The live market is robust and just opens up the floodgates for additional revenues and brings bigger margins for us going forward.
Sean McGowan: And then Ryan, like you talked about that one-off on the cost of sales. How about some of the other cost trends? Would you expect G&A to kind of stay at this level? Or should we be looking for increases?
Ryan Carhart: I would say you would expect G&A to stay at this level. Short term, there were some awards that are driving that right now in addition to sales and marketing, but it's mostly stock comp, which gets adjusted out. But I think the team has done a great job of containing -- not only containing costs, but Kit and team have done a really good job of doing a lot more with the same amount of resources and trimming costs wherever they can. So yes, you should expect more of the same going forward.
Sean McGowan: Okay. So then in terms of cost of sales ex this one-off, and I know there'll be other one-offs and probably bigger down the road, but excluding that, would you expect the overall cost of sales as a percentage of revenue to kind of get back to where it was early -- kind of rise back up to where it was earlier in the fiscal year?
Ryan Carhart: I mean that would be sort of like the normalized one that we're seeing going forward, maybe a blend of that and maybe a little bit better because we continue to improve on our contractual negotiations, but you'll see a creep up as those start flowing through. But yes, to your question, some of these one-offs, they're not exactly easy to predict the timing of, right? But yes, you should expect these coming through occasionally as we do more of these deals and they start coming to fruition.
Sean McGowan: Okay. And then looking at stock-based comp, it was like roughly $2 million year-over-year increase. How does that divide out between G&A and cost of sales? Is some of that taken in cost of sales?
Ryan Carhart: Yes, some of it sitting in cost of sales. So we have a contribution margin reconciliation that's in the queue that kind of breaks that out. So you can kind of see that breakout there. So I think if you're looking at the -- yes, so if you're looking at the quarter, it is north of $1 million, about $1.4 million coming out of cost of sales.
Sean McGowan: Okay. And then my last question is you guys preannounced a couple of weeks ago, you came in a little bit better even than that in the fourth quarter. The guidance though -- I mean, in the third quarter, the guidance for the fourth quarter kind of implies a pretty significant deceleration. I think at the bottom end, it actually would be down. So what's driving that not raising the guidance for the March quarter?
Kit Gray: I'm happy to take...
Ryan Carhart: Kit, this is actually probably one for you to answer. So yes, go ahead.
Kit Gray: Sure. No problem. So typically, calendar year of fourth quarter is always the biggest in terms of ad revenue spend, right? And we're still -- that's still a majority of our business. So as you go into the new year, advertisers really kind of slow down and then restart up, they've got ads in place and then they kind of ramp it up on what's working, what's not and kind of pivot from that. But yes, typically, if you look at all our history, it's always this Q4 fiscal year, calendar year in Q1 that January, February, those are usually our slower revenue ad generation months. So it's normalized. I think we're still going to beat what we did in last year's quarter, if I had to bet. But I think that's just kind of normal for all the businesses in media.
Operator: And our final question comes from the line of Leo Carpio with Joseph Gunnar.
Leo Carpio: I have a couple of questions. First, regarding the EBITDA, it seems like this quarter on an EBITDA basis, you kind of hit that pivot point, yet it sounds like there's a quarter benefit from a couple of one-offs. So the question is, looking into the fourth quarter and then looking into fiscal 2027, is it possible that the EBITDA is going to be breakeven again? And is it going to be like one-off driven or pure straight efficiency driven?
Ryan Carhart: Leo, no, we expect adjusted EBITDA to continue into future quarters. The one-off this quarter wasn't driving all of the EBITDA by any stretch of the imagination. What you've seen in the first 2 quarters this year is minimally what we expect on top of what we did this quarter. So we expect it to kind of slowly continue and climb, and we put that out as well in this release.
Leo Carpio: Okay. And then turning to the talent pool. Now that you've been successfully adding new shows and looking at bigger and better contracts and what is the talent environment out there in terms of are you able to find like good mid-tier talent that brings a solid franchise? And all the economics still favor or if is it still a buyer's market for you? Or is it beginning to shift?
Kit Gray: Yes. It's a good question, Leo. What we're seeing, I actually read something this morning in the trades that in January, there were more new podcasts launched than last January, which is really a good sign for the health of the industry in the sense that more people are getting into the space and developing great content, which opens more opportunities for us, right? So that's a great sign. It's still competitive for sure. There are companies out there that will go low on margins and take what we would consider deals that we wouldn't take that I don't know. I could say they're bad deals or not, but they're not -- they wouldn't work for us. So we continue to flush forward with our method of making smart deals that work for us that we know we can grow. So we have a big funnel of shows and companies that we're still talking to on the M&A side that would be not just one-off shows here and there, but actual networks of programs, putting them in our systems, cutting some costs and growing those. And that's still a huge part of what we do. But we've been really lucky with some of our long-term relationships like even the Chrisley, right, they're launching another show with Todd and his 2 boys. And we are in talks with AME about not only continuing that relationship, which has been a 9-year relationship and a great one, where we've launched now 4 or 5 shows with them. We've got 3 or 4 with them as well. So there -- these relationships that we have are continuing to expand. I talked about the LadyGang show and them being with us for 10 years now. We're actually going to be launching a parenting program or segment in that show as well. So not only are we out there getting new podcasts, but the ones that we're doing -- having great success with are wanting to do more with us. They're seeing how profitable, how big in terms of creating communities it is for them. So yes, it's great. It's still challenging. I mean the agents are doing a great job of representing great podcasts and bringing them to us, but that makes it a competitive environment, but we're well positioned for success there as well. So yes, we're look -- we're really excited about where that stands right now.
Leo Carpio: Okay. And then in terms of acquisitions, anything on your horizon that seems appealing to you? Or it's more a case of just looking at talent first and then acquisitions if there's an opportunity that comes about?
Kit Gray: Yes, there's some great ones out there. We are in -- deep in talks with a couple of them, some that are bigger than us, believe it or not, and some that are smaller that would complement us. So we're really excited about those discussions and where those stand. Steve Layman and team are doing great things there. We're all having conversations. I think the -- there's a lot of these companies, not the big ones that are still trying to find their way and have great opportunities and great growth potential. So we're talking to all of them. And at the same time, our talent acquisition team is out there talking to individual shows every day.
Leo Carpio: Okay. And then last question regarding the industry environment in general, how are you seeing advertiser spending? Is it still -- is it robust? Is it improving? And is it driven at any particular demographic group or show categories or style?
Kit Gray: Yes. We're really fortunate. The media spending level is increasing. Every report I see it's continued growth, record growth. When you look at the companies that are out there and tracking who's spending in the space, you're looking at the Amazons of the world, the Progressives of the world, the State Farms of the world, these are big brands with big media budgets that are shifting their spend to this podcasting world. And they continue to believe in it. They continue to dive into it. And I think the medium is just exploding. And the technology, the ROI, the attribution, all of that allows these companies to not just spend blindly like they may have in the past with other mediums, they really have a true tell that this is working.
Operator: And this concludes our question-and-answer session. I'll hand the call back over to Kit Gray for any closing comments.
Kit Gray: Well, thank you very much, everybody. I really appreciate your time today. We had a really strong quarter and great results. I can't thank my team enough and all the people that believe in us in terms of investors and LiveOne for all their support. Ryan and Rob, I appreciate you guys, and we are excited to develop some great things moving forward and excited to talk to you throughout the year. Thank you very much, everyone. Appreciate it.
Robert Ellin: Yes. And just before we hang up, I'm just going to add to that, I just want to thank you, Kit and Ryan, for a great job. This is a spectacular quarter. It's going to continue. And what I would tell you is that LiveOne, not only is a supporter, but we're buying back a lot of stock. We're going to continue to add to our position. And you'll see us -- I think we bought 657,000 shares recently. We'll be adding to that substantially success of this company, Kit has just done an absolutely spectacular job of delivering revenues and EBITDA. So I couldn't be prouder of my team, and you'll see us in the market very shortly as soon as we have approval from our attorneys to buy back more stock.
Operator: Everyone, this will conclude our call today. Thank you all for joining. You may now disconnect.